Operator: Good day, and welcome to the Qorvo Incorporated Q4 2021 Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Douglas DeLieto, Vice President of Investor Relations. Please go ahead, sir.
Doug DeLieto: Thanks very much. Hello, everybody, and welcome to Qorvo's fiscal 2021 fourth quarter earnings conference call. This call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release published today, as well as the risk factors associated with our business in our annual report on Form 10-K filed with the SEC, because these risk factors may affect our operations and financial results. In today's release and on today's call, we provide both GAAP and non-GAAP financial results. We provide this supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or other items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP -- non-GAAP results. For complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today available on our website at qorvo.com under Investors. Joining us today are Bob Bruggeworth, President and CEO; Mark Murphy, Chief Financial Officer; James Klein, President of Qorvo's Infrastructure and Defense Products Group; and Eric Creviston, President of Qorvo's Mobile Products Group, as well as other members of Qorvo's management team. And with that, I'll turn it over to Bob.
Robert Bruggeworth: Thanks Doug, and welcome everyone. Qorvo concluded our fiscal 2021 with an exceptionally strong March quarter. Quarterly revenue, gross margin and EPS were well above guidance. Our performance was driven primarily by 5G smartphones and Wi-Fi 6 and 6E. Demand was broad-based across customers and design activity suggest continued strength in fiscal 2022, supported by multi-year trends in wired and wireless connectivity markets. In smartphones, the adoption of 5G is driving demand for higher value content. Device architectures are increasing in complexity, as higher frequencies with wider bandwidth are added, transmit is introduced in the diversity path, MIMO architectures are adopted and new received path featuring carrier aggregation. This is placing a premium on Qorvo's highly differentiated semiconductor technologies and enabling us to supply an expanding portfolio of products to industry leaders. For calendar 2021, we expect 5G smartphones to double versus last year. Within these phones, we expect the RF content to increase $5 to $7 per phone when compared to 4G, including in the mid-tier. Turning to the March quarterly highlights, Qorvo achieved record shipments of low, mid-high and ultra-high band main path solutions and Wi-Fi 6E FEMs in support of leading Android OEMs. On the design front, we continue to expand our content opportunity with the leading Android OEMs by securing complete main path solutions and secondary transmit in the diversity path. In Ultra-Wideband, Qorvo was selected by a leading provider of consumer IoT products to integrate Ultra-Wideband into a broad set of connected home devices. More customers are looking to add Ultra-Wideband to their products to take advantage of its superior location accuracy, security, and latency compared to other wireless technologies. Customer interest in Qorvo's Ultra-Wideband solutions has been robust, and we continue to see adoption in smartphones as the catalyst for expanding ecosystem of connected devices that includes associated peripherals, automobiles, consumer, industrial IoT applications. Finally, mobile, we're very pleased to have been honored by Samsung with the best quality award recognizing Qorvo's innovation and outstanding performance in support of their Galaxy product family. In IDP, Wi-Fi revenue, including Wi-Fi 6 was a record. The rate of adoption of Wi-Fi 6 is outpacing the adoption we experienced for Wi-Fi 5 and the rollout is forecasted to span multiple years across enterprise, retail and service providers. Qorvo are seeing a strong attach rate given the performance advantages we enabled related to range, efficiency, signal integrity, and form factor. To that end, we recently secured the entire bill of materials in support of a major U.S. MSO gateway. We also released multiple 5G -- 5 gigahertz iFEMs that deliver improved band isolation and enhanced capacity and range in tri-band Wi-Fi 6 home mesh networks. In broadband, MSOs are increasing downstream and upstream data capabilities by upgrading to DOCSIS 3.1 infrastructure. During the quarter, we expanded shipments of DOCSIS 3.1 GaN power amplifiers to major U.S. MSOs offering greater efficiency, longer range and increased bandwidth to maximize upstream and downstream data connectivity. In automotive, Qorvo has for years been successful supporting the increased demand for in-vehicle infotainment. During that time, we've expanded our automotive portfolio and engage with customers to enable the transition to connected car through cellular V2X. In the March quarter, these efforts helped to generate the first production orders for our cellular V2X front end modules and BAW coexistence filters to support the leading European automotive OEMs. Of note, Qorvo's high-frequency BAW coexistence filters also enable the concurrent operation of cellular V2X and Wi-Fi. In programmable power management, customer demand has been strong and supported two trends. First, the transition to solid-state drives is ongoing, primarily in laptops and gaming consoles. During the quarter, Qorvo's programmable PMICs continue to support this transition with expanded shipments to and new engagements with multiple leading solid-state drive providers. Second, the transition of brushless DC electric motors is accelerating, enhancing efficiency and a broad set of consumer products, including power tools and appliances. Qorvo increased shipments with motor control solutions during the quarter, supporting multiple major consumer brands. In Defense applications, the shift to higher frequencies, the adoption of phased array radar and the proliferation of GaN are among the trends supporting demand for Qorvo's products. For radar applications, we released a reconfigurable dual band GaN power amplifier MMIC for the S and X bands, enabling more compact next-generation radar systems. Over 30 million miles away, the successful landing of NASA’s JPL Mars Perseverance rover was supported by our components integrated into the rover's descent radar. In Infrastructure, we continue to ramp shipment during the quarter to a base station OEM in support of U.S. C-band massive MIMO deployments. And we captured initial design wins for massive MIMO deployments in Canada, Japan, and Korea. Qorvo brings decades of technology leadership in wireless infrastructure, and we are leveraging the full breadth of our GaN power and small signal portfolio to support OEMs on upcoming 5G deployments. We have strong customer engagements. We are investing in critical enabling technologies and design activity remains robust. We see tremendous opportunity in 5G infrastructure globally over the next four to five years, as deployments continue to rollout. After the quarter closed, we received an emergency use authorization from the FDA for Omnia COVID-19 rapid antigen test, which leverages high-frequency BAW sensors for high sensitivity and specificity. Qorvo began efforts to use BAW sensors to develop diagnostic test solutions in 2013, in a manner similar to how we leveraged our BAW filters to achieve superior frequency selectivity in RF applications. Now with the authorization from the FDA, we are preparing to scale production to help support ongoing public health efforts. To that end, Qorvo was awarded a contract with the National Institutes of Health through the Rapid Acceleration of Diagnostics or RADx initiative. With $24 million from the Biological Advanced Research and Development Authority, or BARDA, the award is helping to advance the production and market launch of our Omnia diagnostic test platform. Also after the quarter closed, Qorvo acquired NextInput, a pioneer in the emerging field of force-sensing solutions for the next-generation of human machine interface. NextInput will be part of the mobile products providing MEMS-based sensors and innovative products for customers in existing and new markets. They have shipped tens of millions of MEMS-based sensor solutions to leading manufacturers of smartphones, wearables, automobiles, and other applications. We see multiple opportunities for their solutions to augment or displace capacitive touch and mechanical buttons with smaller, more reliable, and air-tight solutions are applicable to any surface, including glass, polycarbonate, aluminum, and carbon fiber. We welcome the NextInput team to the Qorvo family, and we are excited to expand our technology portfolio and accelerate the deployment of the technology to our broad customer base and new markets. Before handing the call over to Mark, I want to acknowledge the entire Qorvo team for their commitment to supporting our customers and keeping the world connected. Qorvo is enabling multiyear upgrade cycles in existing markets and introducing disruptive technologies, including Ultra-Wideband, RF-based biotechnology testing and MEMS-based solutions. We expect broad-based end market demand for our products and another year of strong financial results. And with that, I'll hand the call over to Mark.
Mark Murphy: Thanks, Bob and good afternoon, everyone. Qorvo's revenue for the fiscal 2021 fourth quarter was $1.073 billion, $33 million above the midpoint of our guidance and up 36% or $285 million versus last year. Mobile Products revenue of $808 million was up 45% year-over-year on the growth of higher content 5G smartphones. Infrastructure and Defense Products revenue of $265 million was up 14% versus last year, led principally by robust Wi-Fi demand. In the fourth quarter of fiscal 2021, we delivered our third consecutive quarter of gross margin over 50%. Non-GAAP gross margin was 52.6% and above our guidance as less favorable mix was more than offset by better-than-expected price, manufacturing costs, and inventory charges. Non-GAAP operating expenses in the fourth quarter were $207 million or 19.3% of sales and in line with expectations. Sequential and year-over-year increases in OpEx were driven by technology and product development expenses, associated with recent acquisitions and other key growth programs. Non-GAAP net income in the fourth quarter was $315 million, and diluted earnings per share of $2.74 cents was $0.32 above the midpoint of our guidance. Cash flow from operations in the fourth quarter was $403 million and CapEx was $77 million, in line with our expectations. CapEx for the year was $187 million and below 5% of sales. During the quarter free cash flow was $325 million, and we repurchased $175 million of shares. On the balance sheet, cash increased to $1.4 billion and debt remained unchanged at approximately $1.7 billion. Our leverage remains low. Our revolver is untapped and we have no material -- near-term maturities. In April S&P upgraded our credit rating to investment grade, reflecting the steps we've taken to profitably grow the business and maintain a strong balance sheet. Before turning to the outlook, I will comment briefly on the past year. Qorvo's full year fiscal 2021 performance realized what was envisioned at the time of the merger, to create an enterprise that's able to serve customers technology and product needs when connectivity trends accelerated and as product performance requirements increased. Qorvo's commitment to R&D, active portfolio management, sustained productivity, and capital discipline positioned us to serve our customer's needs, expand supply chain partner opportunities and improve financial results. In fiscal 2021, Qorvo delivered revenue over $4 billion; non-GAAP gross margin over 52%; non-GAAP operating margin over 32%; and free cash flow over $1.1 billion. Qorvo's free cash flow has increased five-fold over the past four years. We are committed to build on this and are investing and executing to do so. Now, turning to our current quarter outlook. We expect revenue between $1.065 billion and $1.095 billion. Non-GAAP gross margin of approximately 50%. Non-GAAP diluted earnings per share of $2.45 in the midpoint of our guidance. Our June quarter revenue outlook reflects sustained and broad-based customer demand driven by multiyear technology upgrade cycles. In mobile, demand for 5G is adding RF complexity and driving higher content. We forecast mobile revenue in the current quarter to be approximately $810 million at the midpoint or up 73% year-over-year. In IDP, we project revenue of approximately $270 million in the current quarter, sustained by Wi-Fi 6 demand and other markets. Our June quarter gross margin guide is approximately 50%, reflecting seasonal patterns and less favorable mix. That is up a 140 basis points versus last year on higher volumes, active portfolio management and pricing, and continuous productivity efforts. We expect our June quarter gross margin to be the lowest gross margin quarter of the year. Non-GAAP operating expenses are projected to increase in the June quarter to around $214 million, on added labor and other development expenses associated with recent acquisitions and key growth programs. At the midpoint of our June quarter guidance, operating margin is forecast to be over 30% for the fourth consecutive quarter. We project our current quarter and full year non-GAAP tax rate to be between 9% and 10%. Capital expenditures will remain around $70 million in the June quarter, as we work to intersect projected demand and support long-term supply agreements with multiple customers. For our full year fiscal 2022, we forecast approximately 15% revenue growth on an increase in smartphones volumes in the range of 5% to 10%, a doubling of 5G handsets, sustained Wi-Fi demand and growth in other markets, including power management and defense. We project full year of gross margin to be approximately 52%. We expect OpEx to increase sequentially through the year and remain below 20% of sales for the full year. This level of OpEx is in line with what we laid out years ago and supports Qorvo's ongoing product and technology leadership in existing markets, while funding investment in newer areas, such as UWB, biosensors, power management and MEMS. We forecast other expense to drop slightly on lower interest expense, but remain above $60 million. We see CapEx around 5% of sales. So, up on an absolute basis, as we add capacity intersect known and high confidence opportunities. We expect free cash flow to grow year-over-year modestly due to slightly higher CapEx and working capital build. Based on our strong free cash flow performance in fiscal year 2021 and our fiscal year 2022 outlook, along with our substantial balance sheet capacity and other factors, the Board of Directors has authorized a $2 billion share repurchase program. Amidst the pandemic, the Qorvo team executed well in serving customers and advancing technologies critical to a more connected world. Entering fiscal 2022, we are well-positioned to continue delivering premium technology to an expanding set of customers in 5G, Wi-Fi, IoT, defense, power management, and other markets. In closing, I'd like to join Bob and thanking Qorvo employees again for their contributions over this past year. Now, I'll turn the call back over to the operator for questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Blayne Curtis of Barclays.
Blayne Curtis: [Technical Difficulty] my question and nice results. I want to ask you on IDP. You mentioned many, many positive drivers. I think the business, it's kind of flattish here. Just kind of curious if there's any areas that are going the other way for you? And I guess, do you expect that to reverse as you move through fiscal 2022?
James Klein: Yeah. Thanks, Blayne. I mean, we certainly have had a great positive year as we exited the year and grew a 38%, mainly driven by really strong demand in wireless infrastructure. But also a great year in Wi-Fi with consecutive double-digit growth quarters, and both defense and power management also having really strong years. So, I'm really pleased with the results of our fiscal 2021. We've been pretty public about the slowdown in the wireless infrastructure business in the back half of last year. And we certainly see that continuing as we go through the first half of this year. We think it will start to pick up in the back half of next year, as deployments in China start. And then certainly we expect C-band to start to rollout in the United States, as we get into the back half of the year. So, overall, I would expect base station to start to pick up a bit, but I think if you look at full year for IDP base station will actually probably be down a bit and we'll see significant growth in some of the other markets.
Blayne Curtis: Thanks. So, maybe just a follow-up to that. In the market, the fiscal outlook to the top line, do you think IDP can grow this fiscal year?
Mark Murphy: Yeah, Blayne, I'll take that one. Yeah, based on the guidance I gave you, you'll see that we are expecting IDP to grow, and it'll be in the lower end of the range that James typically gets, he gets 10% to 15% per year. And we'll be in the lower end of that range, given the dynamics, James mentioned. We expect to see lackluster infrastructure build out in the first half. And we're expecting that to pick up in the second half, but we're also seeing -- in his business, just great opportunities to continue in Wi-Fi, power management is growing strongly. The defense business is strong and durable, so, still a great year for his business ahead of us.
Blayne Curtis: Thanks. Appreciate it.
Robert Bruggeworth: Thanks, Blayne.
Operator: Thank you. And we will take our next question from Bill Peterson of JPMorgan.
Bill Peterson: Nice job in that quarterly execution and guide and thanks for giving the color on the full year. I just wanted to come back to infrastructure. It sounds like most of this may be more related to the market delay, timing, maybe perhaps of China build outs. But I guess, just try to understand, the competitors of your business, just really bad. It's just a delay in the market, or is it mixed as it relates to more macro versus massive MIMO, any color you can give on why we're sort of slow to start at the gate in infrastructure?
James Klein: Yeah. Thanks, Bill. I mean, definitely, the market has slowed down. I think it's been pretty public across many of our customers and our competitors, as we've seen these deployments and tenders delay in China. The other thing that's happened a bit is mix. And again, we've talked about that over the last couple of quarters as the mix has shifted a little bit from 64 element array to more macro-based stations and more 32 element array. Now that said, I am very happy with the portfolio that we have. We continue to invest in the technology, in both in the GaN side for power and in the small signal side. So, I'm happy where we are and I think we continue to make progress there. And we're in the very early stages. So, this is just beginning. We've had one year in China. We're just starting really in the U.S. and the rest of the world. So, this is going to be a multi-year trend. I think we're positioned very, very well with the portfolio we have. And, of course, we're obviously not going to sit still, we're going to continue to drive that business forward and invest in technology and make sure that we're able to do what we did last year with the early rollouts in China.
Bill Peterson: Thanks for that. And then maybe for Eric. The mobile growth is applied, I guess, to be faster than a 50% based off of James is coming in at a bit less. So, within that growth outlook, where do you see the most growth coming from? Is it -- with these sort of full main path wins in the Android camp? Is it, further -- I mean, including further adoption of the dual transmit, UWB? Where do you see the -- what's driving the most growth within your business in this fiscal year, I guess at a high level?
Eric Creviston: Right. Well, certainly in the near-term and currently where we are today, the full main path solutions are just getting a lot of traction. That brings a lot of dollar content with it, especially as we look in the forward -- looking in the future and see all the new bands coming and so forth. But also just all of our -- complexity around the antenna, it comes with all of that as well, right? As complexity goes, there's a lot more antenna tuning and antenna plexing and so forth. So, that's still a strong market for us and Wi-Fi as well. The 6 -- 6E rollout has been really good for us. So Wi-Fi has been growing and one of the faster clips of all our product groups as well. UWB, a lot of excitement about that, for sure. Lots of design activity across all the verticals. We announced the design in consumer IoT space, which is pretty big for us. It's going to drive growth second half of the year. And so, it's going to be picking up throughout the year. It's not driving the growth now, given its scale, but as we exit the year, it'll be a bigger contributor.
Bill Peterson: Thanks for that.
Operator: Thank you. And we we'll take our next question from Karl Ackerman of Cowen.
Karl Ackerman: Yes. Thank you, gentlemen. Mark, if I could start with you first. I think your prior directional outlook for June contemplated supply constraints, and it would seem that supply constraints were lower than you anticipated between you and China handset OEMs. Is there a way to quantify the amount of revenue that may be pushed into the second half of this calendar year, given the supply constraints you've seen so far today?
Mark Murphy: Yeah. Karl, I'm not going to add any more to the current guidance. It’s our best view, considering the constraints we have and what we believe we can deliver and work with customers. Part of the benefit we had in the fourth quarter was just a tremendous job. The ops team has done, and then the work we've done with customers, to expedite product to them. So, we were able to, both produce more product and get them more product. And you see that come in a number of forms. We had more favorable absorption. We had some better pricing. Our inventory charges are actually lower than we thought. So, a number of -- number of positives, again, in the fourth quarter, just showing how well we're serving the market and working with our customers closely. So, it gives us a lot of confidence in the next couple of quarters that demand is very firm, which is why I felt comfortable giving preliminary full year view. And we'll just continue to do what we've been doing, and managing our inventories closely, watching the channel. Both of those are very healthy and the behavior from customers suggest that it's long-term demand and they're looking to partner with this more closely.
Karl Ackerman: I appreciate that. Maybe if I could -- then as my follow-up. You spoke about the full year outlook for fiscal 2022. And so really appreciate that. You also spoke about the growing opportunity within mobile in fiscal 2022 with regard to the main path solutions. And so, in that context, last call you indicated that your cost basis on your integrated modules is not where you'd like them to be today. I was hoping you could discuss what progress you've made on improving factory efficiencies or outsourcing initiatives that may drive improved yields from here, as we think about that progression towards sustain mid to -- low to mid-50s gross margins. Thank you.
Mark Murphy: Yeah. I guess, Karl, if the question is, what are we doing to sustain margin? I mean, first of all, it's a very complicated equation, right, on all the things that go into making the gross margin. I think what I'd like to do is just start with our fiscal 2022 guide is for margins to hold up. Let's start with the fact that in fiscal year 2021, we increased gross margin over 400 basis points versus fiscal year 2020. So, I'd say sustaining at these levels is pretty good. And I think you've got to remember that some things will go against us in 2022 that went with us in 2021, notably, the pricing environment is very firm now. And that is likely to loosen a bit and still be healthy, we believe, but we'll not be as tight as it is at the moment. And we believe our inventory charges -- we have to assume they'll kind of pick back up to normal levels. And we've got to remember just how hard this stuff is that we do. So, I can go on and on. Now, there's plenty of good that's going on to offset the bad in fiscal 2022. I mean, we're continuing to drive productivity. The portfolio management continues utilization. We've got some room, and we'll continue to invest as we need to, but keep that utilization high. All the things we've talked about over the years. And so as a result, we just -- we have a view now that we can sustain margins these levels. Of course, over time, Karl, we've said -- we aspire to expand our gross margins, and I think it runs through the same things we've been doing. We will continue to be a technology leader, allows us to do the hardest parts. We'll pick to play with customers with those hardest parts where our value get recognized. Productivity's as good as it's ever been in the company and we're driving even more there. And then, we're just going to be very circumspect about any capital build. So, we're optimistic that over time, there'll be some opportunity.
Operator: Thank you. And we'll take our next question from Craig Hettenbach of Morgan Stanley.
Craig Hettenbach: Yes. Thanks. Just to follow-up on Ultra-Wideband. Just -- can you talk about the breadth of design activity? And then, is there a way to think about it over the next year or two kind of a revenue level that would be kind of reasonable to reach for that technology?
Eric Creviston: Sure, Craig. Yeah. This is Eric. The design activity is really, really broad. It is very good that we completed the 7Hugs acquisition and brought the entire software stack, which really enables us to work across a very broad array of applications. So, engaged with multiple mobile handset providers, of course, to leverage that channel. But then also the -- all the things that talk to the mobile phone, like the consumer IoT devices, of course and also automotive. And then, just a bunch of industrial IoT sort of applications around robotics and AR, VR and navigation, indoors, and those sorts of applications. So, really broad. But the team's done a great job of doing all of this with a unified hardware and a unified software stack for the most part, with very few variations. So, tremendous productivity coming out of that organization to cover such a broad number of verticals. And in terms of the outlook for it, we said before we believe we can get it to a couple hundred million dollar revenue business within a few years, nothing has changed there by any means. And we're super excited about the opportunities it’s bringing.
Craig Hettenbach: Great. And then as a follow-up for James, I mean, to be able to grow IDP at the low end, the 10% to 15%, even with roughly a quarter of the business down. I know you talked about there's Wi-Fi strength and programmable power, but any other contexts in terms of -- some of that growth to drive the 10%, even with the infrastructure headwind.
James Klein: Yeah. And I'll lead off with those ones that we spoke about. I mean, we're seeing very strong demand in Wi-Fi 6. And Mark and Bob both had hit that in their prepared remarks. And so, we've got a performance advantage there. And I think, customers are seeing that and we've been able to scale that business very significantly. On top of that, we've got 6E just coming right on the heels of Wi-Fi 6. And so, we're releasing products into 6E and we've also have our first production orders in 6E. So that'll contain the sort of layer on growth there. Power management, great trends there. It continues to grow and well up into the double digits. And that has done that quarter after quarter. So, it'd been a very nice acquisition for us as a company. And defense as well, we've got, again, nice trends inside the defense business. Now, on top of that, the automotive business is really starting to kick in, as we go into this year. And cable TV has also started to grow broadband business, because of deployment of DOCSIS 3.1. So, a lot of growth drivers that we have inside the business. As you said, diversification is working for us. It's helping us offset some of the market challenges that we're seeing with the rollout of infrastructure in China.
Operator: Thank you. And we'll move to our next question from Vivek Arya of Bank of America.
Vivek Arya: Thanks for taking my question. For my first question, very impressive performance on the gross margin side for the last two quarters. Almost, right, you beat expectations by almost 200 basis points. But now when I look at your June guide, you you're essentially guiding the flattish mobile and IDP sales. So, Mark, I'm curious, what specifically about mix will drive gross margins down by 250 basis points? Then, what I would really like to understand is why is there so much variability between your initial outlook versus, right, what you have reported? Then, should we assume your gross margin outlook this time is also conservative like it has been in the last two quarters?
Mark Murphy: Yeah. I think we do our best to forecast very complicated business. And I think our forecast history, as far as our ability to meet commitments, is clear. I think, we've had 17 quarters, or so. It depends on what you do with the hurricane in Florida several years ago as to why that's ruined the streak or not. But we do our best to give a good read. And -- but there's a lot of things in the mix, any given quarter. And so, what's most important to us is, can we forecast it well and meet commitments? And I think we -- you can argue that we're kind of missing it on the high side. But I'd say that we have it in control and can continue to improve the business, because we know what's going on. The second thing is, it's indisputable at this point that all the work we've been doing has led to a higher quantum. So, we've just -- we've increased gross margin, particularly over the past year and had stabilized it before. So, the R&D investment and portfolio management productivity and reducing capital intensive, it's all paying off. To your point, we continue to work on growing the business in the right areas and working on our cost curves and picking and choosing where we're going to compete and bring the most value to customers. And over time, we think that the variability that we have will moderate. As it relates to the June quarter, we're -- we are down. And we're -- I said actually that we'd be down in the 49s, and the drivers are the same. We assume that price will moderate somewhat sequentially. We do have some product mix effects. And then, we have some favorability from -- in this case, the March quarter that -- yeah, that's not going to repeat. We had some favorable absorption in the factories, and then we had some inventory effects that we have to assume we might return to normal levels on inventory charges. So, that explains the sequential decline. I'll finish my comments with that. Remember that's an increase versus the soft guidance I gave you before. So, we've -- our view is actually improved on the quarter. We're driving more productivity than we thought. We have a little bit better price than we thought, because the market's still very firm. And then, there are a number of other factors. But listen, we're pleased to guide at 50% number and we're -- we have confidence in that result.
Vivek Arya: Thanks a lot. Very helpful. And my follow-up for Bob or Eric, is when I look at the implied guidance on the mobile side for the next fiscal year, right, like 17%, 18% or so year-on-year, given you want to grow double-digit in IDP. That suggest about the same growth or somewhat of a deceleration from last year. And given the doubling of 5G smartphones, I'm curious, why can't you grow faster in mobile? And the real underlying question, and that is, what are your views about the competitive landscape because of the industry so supply constraint? I'm surprised to hear you talk about loosening of price, unless you think something about the competitive landscape could change. So, just give us some more color about the competitive landscape? And why you think pricing would start to loosen up if the industry so supply constraint right now? Thank you.
Eric Creviston: Vivek, this is Eric. I'll take a stab at it. So, first of all, in terms of the growth -- first of all, 5G doubling year-over-year and an additional 250 million phones on top of the 250 from last year, right? So, in terms of growth rate, it's approximately the same, right? And so that's -- so we're saying growth consistent with last year, being able to sustain at this level is good. We have other growth drivers coming on top of that as well. But of course, as we enter the year, we take a relatively conservative look. I think it's still a pretty strong guide for the year. In terms of pricing -- I think in terms of loosening, Mark was indicating is that, we've had very firm pricing in the March quarter, extremely tight markets. We're going to continue to push the price curve, while maintaining, of course, relationships and design strength that we have. Mark indicated long-term agreements with customers are coming into play, which is great for us and for customers. It's just an incredibly constructive environment for building a long-term business. That's profitable for us and helps our customers make a lot of money too, because of the advanced technologies. So, I think it's a very constructive positive environment. We're not indicating anything about weakening pricing necessarily.
Robert Bruggeworth: The only thing I'd add, Vivek, is if you look at some of the other companies that do play in our space and see what they've guided quarter-over-quarter. I think we're starting out on a much stronger foot than they are. And we'll see how well we deal with the constraints that both Mark and Eric have talked about, and we'll see how much of that we can capture. I also think one of the few they're gaining some year outlook as well. I'll leave it at that. Thank you.
Operator: Thank you. And we'll take our next question from Gary Mobley of Wells Fargo.
Gary Mobley: Hey, everyone. Thanks for taking my question. I wanted to ask about the Wi-Fi 6 and Wi-Fi 6E product cycles. You mentioned, I believe a minute ago, double-digit percent sequential increases as you finished up the second half of the fiscal year. And you mentioned as well Wi-Fi 6E just really starting to ramp up now. So, my question to you, James, is, how material now is this Wi-Fi 6 and Wi-Fi 6E product cycle maybe measured in absolute dollar terms, percentage of IDP revenue, or how it ranks relative to prior Wi-Fi cycles?
James Klein: Well -- yeah, I'm not going to, obviously, scale the revenue down at the individual areas. But what I will say is, we are early in. And we -- Mark talked about that. We've probably only seen about a 15% or so adoption in Wi-Fi 6 and very, very early in 6E. So, I think those kinds of growth rates that we're talking about are something that we do expect to continue to accelerate as we go through the adoption curve. It's probably going to take another three or four years for Wi-Fi 6 to build out. And we're already working on 7. So, I think, this is a business that will continue to drive. As far as overall size of IDP, I've talked about many times. I love the diversification of the business. And we're going to ebb and flow a bit. And so, that kind of guidance that I constantly give of these businesses, all being about a quarter of the size. I think, as you average through a long cycle, it stays pretty much in that span.
Gary Mobley: Okay. Appreciate that, James. My follow-up for Mark. I appreciate the fact you haven't filed your 10-K yet. But can you share with us the specifics on any greater than 10% customers for the year?
Mark Murphy: Yeah. Gary, I would just say that we normally don't give much detail on that. And you'll see the full year numbers in the K. We had one full year, as we look at it now. We had a number of 10% customers in the fourth quarter. And another one that was actually very close and approaching 10%. So, very good diversified revenue in the quarter.
Operator: Thank you. And we'll take our next question from Eric -- I'm sorry -- Edward Snyder of Charter Equity Research.
Edward Snyder: James, so China's moving from MIMO, which is what they built out in the urban environment. I think everybody knows now to suburban and rural to macro. Why should we believe there should be any rebound in demand for anywhere close to what you saw originally for GaN, given that you're going from 64 to macros are much smaller cells. And then, the same kind of spirit of things, you -- the Chinese built out on an industrial policy, either good from the government, the U.S. doesn't do that at all. U.S. carriers actually have shown ROI for their build out, which calls into question, how many MIMO stations will actually deploy, given relatively modest improvements you get in performance versus the incredibly higher costs for this. So, I'm just trying to -- I know it's slowing down now that you guys have forecasted that and it's actually happening now. But if I'm looking out to the end of this year, why do you confident that you'll see a big rebound and it will be in China, or is in C-band in the United States? Is it mostly MIMO or just building out anything? Thanks. And I have a follow-up.
James Klein: Yeah. Thanks, Ed. So, we didn't talk about a large rebound. We start -- we said that it would start to accelerate as we get into the back half and the U.S. deployments will start to pick up. I do believe that the overall market, as we look at it this year, will be down and -- in sort of those single digits of addressable market and that sort of -- has everything into play, that has deployments in U.S. and the configurations that our customers are telling us about, and deployments in China and of course, the rest of the world. Going forward, though, there are tremendous amount of base stations still to be deployed. And the China deployments during the first year were relatively low. So, I do see just tremendous content pickups for us as we go through this five-year deployment. It's important, Ed, to know that, if you go back to 4G, a 64-element array is still about a 10X content pickup for us, a 32-element array is not -- a little bit more than half of that. So, these are big, big content gains for us in the business. And so, it's really a content story. And as you play that out and deployments around the world, it continues to be a growth business for us. And of course, GaN is a new technology for us. We couldn't access the power amplifiers as we went through the 4G cycle and now we've got great products and great technology allows us to address that whole segment.
Edward Snyder: Great. And then, Eric, if I could. So, you have long said that you would enter the transmit diversity path as it made sense for your filter business, typically with regard to BAW. And it sounds like you've done that, congratulations. But does that limit you? I mean, this would be like n77 Wi-Fi combination for a coexist, or are all the subsequent bands open to your solutions? Are you cherry picking on that? And then, if I could, also on the Ultra-Wideband, it looks increasingly like -- Apple's got their own solution doing their phone and NXP is taking a lot of the handset side of the business, the Android world. And is it fair assumption to say Decawave is really going to be focused mostly on the other side of it, the IoT side of it, all the devices that talk to the handsets? I mean, other than Google, should we expect to see you much in the Android handset side with UWB? Thanks.
Eric Creviston: Sure. Let's -- I'll take those in order. So, starting with the transmit diversity path. Yeah. That's a rapidly growing space for us. As you indicated, we had forecast that it would be. And it's not finding -- it's limited to the content we have today. Today is relatively kind of discreet placements. And going forward we'll see complete, what we call dual connect modules more and more going from the upper tier down in the dual connect modules, we have the complete transplant and receive path for the bands that they do transmit on, right? And those bands are throughout the mid and high band frequencies. We'll say so. So, it's a great growing category. Again, we're going to bring all filters to it. We're going to bring integration to it. Best-in-class GaA PAs and everything we have in the main path. So, that's a great new category for us. And of course, supported by -- just more band within the uplink and trying to get more video through the networks and higher data rates and so forth. That's really what's driving that as we've been talking about for years actually. On UWB, I think when you say -- you're seeing NXP primarily in Android house, that's kind of a legacy comment, which I acknowledged. Obviously, Decawave, wasn't in a position to really address the mobile market and that's why they took the path, they did it as Qorvo. Of course, we're targeting the mobile market directly. And to your point that is Android. And so, the current state of play at least, Apple is doing their own. But we expect that we will be engaged and represented in production in the Android ecosystem, not just in all the accessories, but also in the mobile part themselves. There's really no part of the UWB ecosystem that we feel like we can't address and we are addressing.
Operator: Thank you. And we will take our next question from Toshiya Hari of Goldman Sachs.
Toshiya Hari: Hi, guys. Thanks so much for taking the question and congrats on the strong results. Mark or maybe Eric, I had a multi-part question on long-term supply agreements. You both spoke to this in your prepared remarks. But curious, are you signing long-term agreements, both in mobile and IDP, or is it primarily IDP? I guess that's part one. Then part two, just for context, roughly what percentage of your future revenue will be tied to long-term supply agreements? Are we talking 5%, 10%? Is it 25%? Just a rough a ballpark number would be helpful. And then I guess most importantly, how should we think about the level of commitment on the part of your customers in terms of both volume and pricing? And I asked the question because historically, maybe not specific to Qorvo, but in the industry broadly, the suppliers would have to be committed to a long-term agreement, but the customer is always have the flexibility to push or cancel purchases. So, just curious how the contracts are constructed. Thank you.
Mark Murphy: Maybe I could start and then Eric take it, or Bob. So, first of all, I don't think we want to give a number at this point on percent, because it's -- there's a lot in flight, a lot's been done and a lot is still in flight. So, I think that's a number that we would be changing and just is not practical at this point to give it. The second thing I would mention is that, the nature of the agreements we get and so forth is going to determine the level of investment we make and shape our CapEx decision. So, yeah, another -- they're intertwined to Vivek's earlier question on gross margin and what we want to do here going forward. We're working to strike deals that will be best for our customers and best to maintain stability on our business, so we can invest for our customers. And so I would leave it at that. Eric or Bob …
Robert Bruggeworth: The only thing I would add, Toshiya, there for both business units and to Mark's point they're growing. And clearly, there are a lot more confidence in the outlook because of them than we had in any of the years before. We did have some smaller long-term agreements, but it is a growing part of our portfolio. And we think it's a very good thing and so to our customers. I think that's the really important part as Mark pointed out.
Toshiya Hari: That's great. And then a quick follow-up, a simple one on NextInput. You guys talked about the rationale in your prepared remarks. I think that was pretty clear. But can you speak to some of the financial implications, how much we're paying, the revenue accretion, the margin profile, vis-à-vis the corporate average. Thank you.
Mark Murphy: Yeah. Toshiya, just -- on the dollars, you'll see a subsequent event note in the K and this was over $150 million, closer to $175 million, actually. So, you'll see that in the K as a subsequent event. It's a creative pretty quickly, like within the first few quarters of our ownership. And the gross margin profile is favorable to the company and given the scale, of course, the operating margins weaker just because the OpEx. But it's certainly a business we're excited about and investing -- we're going to be investing heavily in.
Operator: Thank you. And we will take our next question from Chris Caso of Raymond James.
Chris Caso: Yes. Thank you. I guess, my question is about the seasonality that's implied in the mobile business based on what you've guided. And it would appear that, that the seasonality is more muted than we've seen in years past. First, is that interpretation correct? And if so, why is that the case? Is it -- perhaps a function of your business, the geographic nature of the business now, it being different than when it is in the past? Is it that -- some business was pulled forward into the first half of the year? Could you give us some more color on that, please?
Eric Creviston: Yeah. This is Eric. I'll be happy to talk to that. I mean, the fact is we are in a supply constrained environment. So, customers would be happy to get more potentially, but we're working through our supply chain and growing its capabilities throughout the year. And so, it's not a typical demand profile that you might see. This is really a function of how much we can get out right now.
Mark Murphy: I maybe -- just to talk to the full year guide I gave as well. Yeah. A couple of things to add. One is, keep in mind, this is a first look. So -- and the first half of the view is obviously a lot clearer Chris, then the back half. And we're -- I think that's just the nature of providing a high-level view. There are obviously a lot of positive factors going into the year. Demand is firm. It's more of a supply constraint environment. And the growth drivers in the business are intact with the near-term exception of infrastructures as we've discussed. You've got -- the economic recovery is underway, but we know how quickly that can turn. And then, there's just pockets of supply chain risks, which we're managing very well, but acknowledging that they're there. So, I just want that to be clear in this initial look The second thing on the guide is just talking about -- maybe giving a bit of shape to it. And specifically September quarter looks firm as well, expect revenue to be up, probably around $50 million or so sequentially versus our June guide. The gross margin, we see increasing, being between 51% 52%. So, increasing 100 to 150 basis points, probably closer to 150 basis points as we see it now. And we'll get more -- one last thing OpEx, we see going up about $10 million sequentially. And again, that's some salary increases plus the addition of NextInput, and then just increased investments in our other growth opportunities and recent acquisitions. We'll get more color through the quarter or on our next earnings call.
Chris Caso: All right. That's very helpful. I'm glad we got in before the call ended as well. But just -- the follow-up. If it sounds like supply constraints are a factor that potentially -- could affect the revenue as you go through the year. Could you give us some sense of -- kind of timing and magnitude of getting more supply out there? And I guess the trick is getting the supply out in time for your customer's launch schedules?
Robert Bruggeworth: Chris, this is Bob. Obviously, quite challenging to even define that. I think we've given you a pretty good view. As Mark's already outlined somewhat of a profile of the year, along with what we're thinking for the year. It is dynamic. And collectively, we all spend a lot of time with our customers working through their other constraints, so that they can complete their bill of materials. So, there's a lot of churn in our business as we -- they figure out what they can get from certain suppliers. We adjust, but we can make, and there's just a tremendous amount going on out there. And to really size that and let you know, dollar wise, would be quite -- not really useful in my mind, because if we could produce more -- they may not want it, because they can get it from someone else. So, we gave you what we believe is an unconstrained view of -- excuse me -- a different way, a constrained view of what we think we can get and support along with what our customers can get. And we're in almost daily communications with them. So, I feel good about the outlook, that Mark's provided.
Mark Murphy: Just one, I need to make one correction, Chris, I made a mistake here and just want to make sure it's clear for the calls up. Our actual sequential will be up between 100 and 150 actually going June to September. But just -- not 50 as I mentioned, but between 100 and 150. So, I'm sorry about that. And hopefully that clears that up.
Operator: Thank you. And this concludes today's question-and-answer session. I would now like to turn it over to management for any closing remarks.
Robert Bruggeworth: Thank you for joining us this evening. Qorvo will be presenting at multiple Investor Conferences in the coming weeks, and we invite you to listen in. Thanks again, and have a good night.
Operator: Thank you, ladies and gentlemen for your participation in today's teleconference. You may now disconnect.